Operator: Welcome to the Washington Real Estate Investment Trust Fourth Quarter 2007 Earnings Conference Call.  As a reminder, today’s call is being recorded.  Before turning over the call to the Company’s President and Chief Executive Officer Skip McKenzie, Kelly Shiplet, Senior Manager of Finance, will provide some introductory information.  Ms. Shiplet, please go ahead.
Kelly Shiplet: Thank you and good morning, everyone.  After the market closed yesterday, we issued our earnings press release. If there is anyone on the call who would like a copy, please contact me at 301-984-9400; or you may access the document from our website at www.writ.com.  Our fourth quarter supplemental financial information is also available on the website. Please bear in mind that certain statements during this call are forward-looking statements within the meaning of the Private Security Litigation Reform Act of 1995.  Other such statements and projections are based upon what we believe to be reasonable assumptions, actual results may differ from those projected. Key factors that could cause actual results to differ materially include changes in the economy, the successful and timely completion of acquisitions, changes of interest rates, leasing activities and other risks associated with the commercial real estate business and as detailed in our filings from time-to-time with the Securities and Exchange Commission. Participating in today’s call with me will be Skip McKenzie, President and CEO; Sara Grootwassink, Executive Vice President and Chief Financial Officer; Laura Franklin, Executive Vice President and Chief Accounting Officer; and Mike Paukstitus, Senior Vice President. Now I’d like to turn the call over to Skip.
George McKenzie: Thanks Kelly. Good morning, everyone, and thank you for joining us today.  We’d like to take a few minutes to review our fourth quarter results and provide some insight into 2008, then we’ll open up the call for your questions. We ended the year with an excellent year with solid fourth quarter results.  We’re pleased to report FFO for the fourth quarter of $0.59 per share, up 5% over the prior year.  FFO per year was $2.31 per share, an increase of 9% over last year.  Core net operating income for the fourth quarter increased 7.1% on a cash basis compared to the same period a year ago. Rental rate growth was 3.2%, and economic occupancy increased 100 basis points over last year reaching 95%. For the year, core net operating income increased 4.5% on a cash basis and rental rates increased 3.4%. Strong performance in each of the core components of our business contributed to this year’s operating results.  In 2007, we signed over 300 commercial leases for a total of 1.8 million square feet, an average term of five years.  On average, rental rates on these leases increased 6.4% on a cash basis. We continue to improve our portfolio quality through the acquisition of $319 million of assets, including two-DC properties and the sale of Maryland Trade Centers I & II office building in Prince George’s County.  This $58 million sale resulted in a $25 million gain on sale and is 16.9% unlevered internal rate of return over the 11-year holding period. We completed construction on two of our three development projects.  Dulles Station West, our office development in Herndon, Virginia, was named the Best Suburban Mid-rise Office Building by the NAIOP Awards of Excellence; and Bennett Park, our apartment development, has been well received by the market.  We have good activity and leasing progress is on schedule. Shortly after year-end, we delivered the Clayborne Apartments in Alexandria, Virginia. During 2007, we successfully amended our bond covenants, raised more than $200 million of capital and entered into a new credit facility.  Early in 2008, we exercised a portion of the accordion feature on a second credit facility. The total capacity in our lines is now $337 million, and we maintained our favorable borrowing rate of 42.5 basis points over LIBOR.  We have a strong balance sheet and plenty of dry powder, as Sara will discuss later in the call. Although 2008 promises to be a challenging year, we anticipate that the economy and real estate markets in Washington DC will fair much better than the national markets.  The federal government largely drives the Washington area economy and federal contract spending accounts for one-third of the region’s commerce.  Although near-term federal procurement spending will moderate, it is still increasing and our regions low overall vacancy rates, low unemployment rate and continued job growth will buffer the impact of a slowing economy on the D.C. metropolitan commercial real estate market. The Office market in our region is solid; although, leasing pace and absorption has been tempered somewhat from the pace achieved in recent years.  In the District of Columbia, the market is still very strong with vacancy rates at approximately 6% in increasing rental rates.  While construction activity is robust and vacancies will inevitably increase, we do not anticipate a significant degradation of conditions neither rental rate or vacancy near-term. In the suburban markets, while there are clearly submarkets with weakness, such as the Dulles corridor, I would caution you not to paint the entire region with a broad brush.  Large markets such as Tysons Corner, Rosslyn Ballston, Alexandria and Rockville are solid and performing well with low vacancy and reasonable construction deliveries; although, overall leasing activity and absorption are down. REIT finished the year with good leasing momentum as we leased more space in the last quarter than any other quarter in 2007.  An important contributing factor was the outstanding tenant retention we enjoy in the Commercial portfolio for the entire year.  The overall retention for 2007 was 81.5% and 82.7% in the Office portfolio. This operational success has continued into 2008.  A few notable transactions to provide some color:  Subsequent to year-end we renewed an expiring portion of the World Bank space at 1776 G Street for 61,000 square feet as is on a five-year term, an 11.8% increase in cash rent and a 20.6% increase on a GAAP basis.  At the end of this month, the garage lease at 2000 M Street, our recent acquisition, expires.  We converted this lease to a management contract which will increase garage revenues 24% per annum at this facility. In our Office portfolio, we’re approximately 97% occupied; and in 2008, we only have 10.6% of our Office portfolio rolling and nothing rolling in the soft Dulles market.  Our biggest leasing challenge in 2008 in the core portfolio will be the releasing of the 60,000 square foot United Communications Group space at 1 Central Plaza, North Bethesda; and we have good activity on it to date. We continue to keep a close eye on the Multi-family rental market.  Although market conditions remain reasonably healthy, vacancies have increased and the ability to raise rents have been impacted by the increases to supply both from the projects originally conceived as condominiums for sale now switched to rentals, as well as competition from the difficult to track shadow rental market of individual condo owners renting their investment units. Acquisitions activity in the region has slowed dramatically as buyers and sellers struggle to find cap rate equilibrium.  While empirical evidence is sparsed at this point, in general, conventional wisdom is that rates have moved 50 to 100 basis points with the exception of properties traditionally in high demand, such as well located D.C. office assets, grocery anchored shopping centers and high-rise residential in affluent submarkets.  With capital being precious these days, we plan to be strategic about which assets we will acquire and sell in 2008 with a focus on continued improvement and portfolio quality and diversification. In our earnings guidance, we assume significantly reduced acquisition activity for the year. Subject to market conditions, we anticipate recycling capital through more aggressive but tactical assets sales and our focused on raising well priced capital efficiently mindful of the need to keep dry powder on hand. Sara will fully discuss our 2008 earnings guidance.  But first, I’d like to turn the call over to Mike to discuss the results in each of our sectors and our acquisition and development activity.
Michael Paukstitus: Thanks, Skip, and good morning to everyone.  On a portfolio level, we’ve seen an increase in market rents that have maintained very low vacancy. In the fourth quarter, core NOI in our Retail portfolio increased 13.8% on a cash basis driven by rental rate growth of 3.2% and 120 basis point increase in economic occupancy.  Our Retail centers were 97.6% leased as of year-end, which is on par with the region’s overall vacancy rate of 2.3%.  We continue to see excellent rental rate growth in this sector. This quarter we signed new and renewed leases at rental rates 24.3% higher than the expiring rates. In the Industrial sector, core NOI for the quarter increased 6.8% on a cash basis.  Rental rate growth of 3.6% and 150 basis point increase in economic occupancy.  As of the year-end, the portfolio was 95.1% leased.  By submarket, our Industrial portfolio was 97.2% leased along the I-395 corridor, 95.8% leased in Maryland and 91.5% leased in Chantilly, Virginia.  This quarter we signed 320,000 square feet of new and renewed lease at cash rental rates 7.4% higher than rates on expiring leases. The Medical Office sector increased revenue 6.3% and increased rental rates 3%, leading to a 6.7% increase in cash over NOI in the fourth quarter.  We signed an additional 42,000 square feet, making the portfolio 97.5% leased at year-end. Forecasted demand for Medical Office space remains high, especially with the aging baby boomer population.  This coupled with the limited supply of high quality assets near hospitals allows us to continue to push rents at our properties in the upcoming year. The Office sector’s core NOI increased 5.5% on a cash basis in fourth quarter, with rental rate growth of 2.4% and a 320 basis point increase in economic occupancy. This quarter we closed on 142,000 square feet of leased transactions making this sector 96.7% leased at year-end.  By submarket, our Office portfolio was 96% leased in Northern Virginia, 95.6% leased in suburban Maryland and 100% leased in the District of Columbia. Core NOI in the Multi-family portfolio increased 2.8% on a cash basis with 4.9% rental rate growth and economic occupancy of 90.5%.  Our residential units, not including Bennett Park and Clayborne, our new development projects, are 94.6% leased.  We anticipate overall occupancy and rental rates will continue to increase as renovated units come online and our apartment developments are added to the portfolio. On the acquisition front, this quarter we acquired leasehold position of 2000 M Street located in the central business district of Washington, D.C., for $73.5 million.  This off market acquisition was a phenomenal investment, and we expect near-term upside rents are well below market when we acquired this property in December. As Skip mentioned, we are projecting a 24% increase from garage revenue for 2008 by converting the facility from a lease to a management contract.  The property is well positioned for high quality tenants and long-term has significant redevelopment potential. Our three development projects have all been delivered as of this date.  Bennett Park, a 224-unit high-rise mid-rise Multi-family property in Rosslyn, Virginia, was 31% leased as of year-end. This is exceptional considering that we delivered the majority of these units at the very end of December.  Rents are averaging $2.61 per square foot.  We’re forecasting the property will be 60% occupied at midyear and 95% occupied by year-end.  We began delivering units of the Clayborne Apartments in Old Town Alexandria, Virginia, in early February 2008.  The property consists of 74 apartments, and we’re projecting the property will be 55% occupied by midyear and 96% occupied at year-end.  As you know, we delivered the Dulles Station Phase I office tower of 180,000 square feet last summer.  As Skip indicated, we are very proud that the Virginia Chapter of NAIOP awarded the building “The Best Suburban Mid-Rise Office Building in all of Northern Virginia.”  The Virginia Chapter of NAIOP is one of the largest in the country with over 800 members, including some of the best known developers and architects.  This competition for this coveted award was very stiff. (Inaudible) Virginia market located near Dulles Airport continues to be challenging as new projects come online.  However, we are experiencing very good activity and this project is one of the best located of our competition with direct visibility to the Dulles Toll Road.  Furthermore, we are uniquely situated in a mixed use project with office, retail, residential and two new hotel properties now under construction.  We are in active discussions with several prospects and have frequent tours of the property.  At this time, we’re assuming no rental income from Dulles Station until 2009. On the development, we’re currently evaluating several REIT properties where respective county growth plans are being considered for revision.  These projects are being considered for plan review due to the proximity to existing or proposed metro locations or in several cases due to the Base Realignment and Closure Act, better known as BRAC, in and around Fort Belvoir located just south of the Washington Metro Beltway.  We expect that the major portion of our work will be performed during the summer and fall with entitlement determinations made in late 2008 and early 2009.  While several of these projects have long-term development horizons, the BRAC initiative in Fort Belvoir is projected to begin Department of Defense relocations to the government facilities in September 2011.  Significant demand for the private sector contractors who services Department of Defense is projected to follow the implementation of BRAC.  More than $3 billion is expected to be spent by the Department of Defense in the Fort Belvoir BRAC initiative, and construction is well underway. I’ll now turn the call over to Sara.
Sara Grootwassink: Thanks, Mike.  Mike and Skip have covered our 2007 results in detail so that I could take the opportunity to discuss our strong capital position in 2008 earnings guidance.  As Skip mentioned, in January, we exercised a portion of the accordion feature on our syndicated credit facility.  We increased capacity an additional $62 million to give us $337 million in capacity overall. With no increase in spread, we continue to borrow at the very attractive rate of 42.5 basis points over LIBOR.  Yesterday we closed on $100 million term facility with a fixed rate of 4.45% for two years. In 2007, we completed several transactions that further strengthen our balance sheet.  Early in the year, we completed a $150 million convertible bond issue with a three (inaudible) coupon and a $49 conversion price.  In May, we issued $59 million of equity at $37 per share.  During the summer, we completed a bond consent to modify our bond covenants providing much more flexibility in our balance sheet.  In the fall, we entered into a new four-year revolving credit facility with pricing again at 42.5 basis points over LIBOR. On Monday, we will complete an extinguishment of debt on the $60 million of 10-year Mandatory Par Put Remarketed Securities that come due for remarketing. This extinguishment will result in a net $8.4 million charge. Those offers were issued in 1998 with an option to the underwriters to remarket the bonds in 2008 with a 10-year Treasury rate of 5.6% plus the current market spread.  The net loss is calculated as the net present value of the difference between their fixed 10-year Treasury rate and the current 10-year Treasury rate.  Due to the volatility in the credit markets, we decided to redeem the balance rather than allowing the remarketing. We believe that both remarketing as well as other debt, securities, issuance alternatives we evaluated would’ve resulted in attractively priced long-term capital. Therefore, we decided to refinance the bonds for two years with a credit facility we closed yesterday.  This refinancing saved an estimated $5.6 million over the two-year period compared to the estimated remarketing coupon and that should allow time for the credit markets to settle out before we issue any long-term debt. We believe that all the aforementioned transactions have further strengthened our balance sheet and provide tremendous flexibility going forward.  Last night we announced 2008 earnings guidance of $2.29 to $2.39 of FSO per diluted share before non-recurring items and $2.11 to $2.21 per share after non-recurring items.  Funds available for distribution are projected to be $1.65 to $1.75 per diluted share before non-recurring items and $1.47 to $1.58 per share after non-recurring items. Our assumptions for the earnings guidance are summarized as follows.  We assume our core portfolio will remain 95% leased and we will achieve 1.5% to 2.5% core portfolio NOI growth.  Net operating income for the overall portfolio is expected to increase 79% over 2007.  We project the Bennett Park and Clayborne developments will lease ratably throughout 2008. Lease in Bennett Park will be 95% occupied and the Clayborne apartments will be 96% occupied by year-end.  Due to weakness in the Northern Virginia market, guidance assumes no rental income at Dulles Stations until 2009.  Projected interest expense will increase 13% to 16% over the prior year. The increase is primarily due to interest recognition on the completion of the three development projects, which had previously been capitalized.  General and administrative expense is projected to decrease 9% to 11%, primarily due to one-time expenses in 2007, including compensation for retiring executives and bond (inaudible)… The loss resulting from the (inaudible) option and the (inaudible) offers will be accounted for as a non-recurring item. The net $8.4 million loss, which is roughly $0.18 per share, will be recognized in the first quarter.  We look forward to the year ahead and believe we are well positioned to take advantage of the opportunities in the market. We would now like to open the call for questions.
Operator: Thank you.  Ladies and gentlemen, we will now be conducting a question-and-answer session. (Operator Instructions)  Our first question is coming from Matthew Konrad.  Please state your question, sir.  .
Matthew Konrad: Hi.  Good morning.  Thanks a lot for taking my call.  Just maybe if you could touch on what you’re hearing from your tenants.  I would expect that if I had to kind of have a spectrum of where the most risk is, I would think that it would be in some of the ma and pa places in the Retail Centers and in some of the Industrial and where they’re situated with consumer or with housing.  I just wanted to see what you’re hearing from them, if there was anyone that you’re adding to your watch list.
George McKenzie: I think you’re hitting upon a good point. I mean certainly as the economy gets a little bit rougher around the edges, those are exactly the sectors where you will see some weakness.  We have the ability to push rent particularly in the retail properties with respect to those smaller tenants is getting more difficult, especially in some of the core properties we have like particularly our Bradlee Shopping Center, our Foxchase Shopping Center. Those shopping centers where we really push rents in that $50, $40, $50, $60 triple net range, it is getting tougher; I have to admit, and we’ve sort of dialed back our expectations in that area.  I would say, however, that we really haven’t seen increased delinquencies at this point.  In fact, our delinquencies for the year were quite low, if you looked at our earnings.  So we’re remaining cautiously optimistic, but we are watching the particular tenant types that you had highlighted.
Matthew Konrad: Great. Then trying to keep a gauge on what’s going on with Dulles Metro, even kind of being in the mix is tough. I guess the only property that that really affects for you is Dulles Station; that would be eight years out anyway.  Can you try to handicap what’s going to happen there and how that affects the region and your properties?
George McKenzie: You’re talking about the…
Matthew Konrad: Dulles Rail Extension.
George McKenzie: The extension of Metro.
Matthew Konrad: Yes sir.
George McKenzie: I mean we believe that metro will occur. I mean it’s hard for us to handicap it specifically Virginia particularly seems committed to moving this initiative forward, the state, and I think most of the people who are closest on this believe that the state’s going to come through if the federal government doesn’t ultimately provide the funding.  So we remain reasonably optimistic. Now the second part of your question - How does that impact us specifically - I mean I would say that it is does impact all of the buildings in the Tysons’ area.  Our 79 West Park property, which is our largest office building, it’s over 500,000-squre feet, that property is very close to what would be one of the Tysons’ Metro stops; and if in fact this does occur, that property actually has long-term significant development or redevelopment potential. So we remain optimistic that it’s going to occur and we feel that there are some very positive influences it’ll have on our properties when it does ultimately occur.
Matthew Konrad: Great.  Then just my final question just has to do with TIs and leasing commissions and the trends there on a weakening economy if they, what your expectations are, especially for office and tenant improvements.
George McKenzie: In general, we’ve seen TIs going up and particular with regards to concessions and some of the deals we’ve looked at particularly out in the Dulles Toll Road, TI improvements have increased without a doubt; and we really haven’t seen an influence from free rent.  But I would say that there have been increases in tenant improvement allowance, particularly for new properties. Downtown office buildings, tenant improvement packages can be huge.  Although, as I mentioned in my comments, that we were very fortunate to do a very big renewal with the World Bank actually in the first quarter, in 2008 with the World Bank as is.  But those type of deals in the District of Columbia can very easily be 30 to 40 to on a ten-year basis even $50 in TIs.
Matthew Konrad: Great. Thanks again for taking my questions.
Operator: Our next question is coming from Michael Knott. Please state your question.
Michael Knott: Hey, Skip and Sara, can you just comment on your thought process behind forecasting some acquisitions as opposed to maybe considering buying back your stock given that you can buy it at big discount to NAV?
George McKenzie: We were very conservative.  As I mentioned, we’ve completely dialed back the acquisition activity. I mean I guess our thoughts with…  Well first of all, as it relates to buying back stock, the short answer is we don’t have approval from the Board to do so.  But from a strategic perspective, we’ve made the decision we’re not going to lever up our balance sheet to buyback stock.  Now that’s not to say if we were to sell a property at the appropriate time if we didn’t view acquisition activity it isn’t in the realm of possibility.  But to be honest with you, we still see tremendous ability to grow and find assets out there that we think are good investments for the property and grow the portfolio.  A good example of that is, and Mike referenced and I referenced, the 2000 M Street acquisition. That property has tremendous upside from a number of areas as well as it has long-term redevelopment potential.  At the time, I guess you could make the argument we could’ve bought back stock. But our focus is on growing the business and not getting smaller.
Michael Knott: Can you talk more about that acquisition; what types of unlevered return expectations do you have over maybe a five- or seven-year time period?
George McKenzie: Yeah, that property has significantly below market rents in there. The average rents in place in that building are in the 30s, so we’ve gone in actually at a relatively low yield in the low 6s. But as Mike had mentioned and I had mentioned, it had a very large garage in that facility that we’re able to renegotiate the lease. That’s going to have a significant impact getting us over the 7% range early, as well as a number of leases that are coming up, we have three-quarters of a floor who’s expiring this year which have rents that are probably $10 below market.  In addition to that, one of the things we like about this asset, long-term it has potential to grow, to redevelop over time.  So it’s a type of asset that not only has near-term positive accretive effect on our revenues, but it also has the ability to make a significant impact long-term from a redevelopment perspective.
Michael Knott: Any thoughts on what type of IRR that translates into, 6.2, do you get to an 8 or 9?
George McKenzie: Actually we don’t run IRRs on our properties.  We look at the annual returns over the first 5- and 10-year basis, so I don’t have a specific answer for you. But I would expect that it would be significant given the redevelopment potential long-term from it.
Michael Knott: Then I have two other quick questions. One, can you talk about the Bennett Park mid-rise? It looked like it only increased 2% incrementally from fourth quarter, I’m sorry, from third quarter to fourth quarter. Then my other question is your outlook for the Industrial portfolio occupancy given the, that looks like where you have the most rollover in 2008 and 2009.
George McKenzie: Yeah, the mid-rise… Let me go, your first part of your question, the mid-rise of Bennett Park: The mid-rise specifically, if you bifurcate the property into the mid-rise and the high-rise, that had phenomenal leasing progress early and that project has some very unique two-story units in it that we’ve been holding off to achieve the highest possible rents, and that’s why you’ve seen a little bit of a tailing off on that property.  It’s really been offset by the, positively by the leasing progress that’s picked up in the mid-rise. But if you looked… Or high-rise, excuse me.  But if you looked at it and bifurcated it on a property basis, it may look like it’s tailed up.  It’s only because we’ve held off leasing these two-story units really trying to achieve the highest rents in the marketplace.  In addition to that, we’re looking at some corporate rentals on those units as well. What was the question about Industrial?
Michael Knott: It looked like out of all your commercial property types, that’s the sector where you have the most rollover in ’08 and ’09. I’m just curious on your outlook for maintaining your occupancy there given that rollover.
George McKenzie: Yeah, I think the market’s still very strong on the Industrial sector.   I have no particular knowledge one way or the other, but I’m very positive about it.
Michael Knott: Thanks.
Operator: (Operator Instructions)  Our next question is coming from John Guinee. Please state your question.
John Guinee: Hi. How are you?  Nice job.  Question: On 2000 M Street, can you talk through the ground lease and how that all, what the terms and conditions are on the ground lease?
George McKenzie: Sure. The ground lease is for 64 years, I believe, in round numbers, and it’s a fixed rate ground lease. I believe it’s $250,000 a year and has a participating element to it.
John Guinee: So that’s really what kept the price per pound so low and the cap rate relatively high?
George McKenzie: That’s exactly right.
John Guinee: Yes, because you can’t get 6.2/6.7 yields in the CBD.
George McKenzie: No, but also I would point out that property was not marketed to the market.  We had sort of an inside connection with the owner and we were able to buy that property off market. That was not exposed to the marketplace.
John Guinee: Right, but you’re a smart guy and you know that there are no dumb fellers in the Washington CBD.
George McKenzie: I’ll take that as a statement and I won’t comment on it.
John Guinee: You’re a smart guy, Skip, come on.   Question on guidance, it’s basically $0.58 or $0.59 run rate, which it was last year excluding the one quarter where Ed retired and what you’ve got is you’ve got $0.03 in G&A savings; you’ve got positive spread investing on a couple hundred million dollars worth of investments; you’ve got core NOI growth of 1% to 2%.  All this translates to much higher than essentially a 1% or 2% year-over-year FFO growth and a $0.58 to $0.59 quarter.  What are we missing on the downside, Sara?
Sara Grootwassink: Well, I don’t know exactly what you’re missing.  We could talk about it, but we wanted…
George McKenzie: One of the things we’re applying against is the interest.
Sara Grootwassink: Well, right. If you factor in the higher interest expense from the standpoint that when 2007 we had $6.2 million of capitalized interest related to our development projects and the vast majority of that is hitting our interest expense this year.
George McKenzie: Also with Dulles Station as well.
Sara Grootwassink: Right.
George McKenzie: We start expensing interest on Dulles Station, I believe, in July.
Laura Franklin: We’re looking at about $0.15 to $0.16.
Sara Grootwassink: Right.
George McKenzie: Laura just mentioned, I don’t know if you heard that, John, that we’re looking at $0.15 to $0.16 in interest expense as it relates to the development property with development projects with probably average occupancy, if you looked at it on a year basis, less than 50%. Certainly when you throw Dulles Station in there it would be less than 50%.
John Guinee: So Laura, you’re saying, when you going to start expensing versus capitalizing the interest?
Laura Franklin: Some of that has already begun because we placed and serviced Bennett Park and Clayborne as well as, as you know, we have we have an above ground garage at Dulles Station.  That’s already placed in service and so the balance of Dulles Station would be placed in service in July of ’08.
John Guinee: So is the garage just sitting there vacant? Is there any use for the garage?
George McKenzie: It would have use if there was a tenant there.
John Guinee: So there’s no other apartment use or anything like that?
George McKenzie: Not right now.
Laura Franklin: Not at Dulles Station.
John Guinee: You’re basically eating the cost of all three phases of the garage plus the vacant building?
George McKenzie: That’s true. Again, the building’s starting in July, I believe, is the date when the interest expense is expensed on the garage or on the building.
John Guinee: Gotcha.  When’s the last time you raised your dividend and what was that?
Sara Grootwassink: John, we raised it in the second quarter of ’07, and we raised it $0.04 on an annual basis.
John Guinee: Is that a good run rate?
Sara Grootwassink: I think it’s a fairly good run rate, but that decision’s made by the Board.
John Guinee: All right, great.  Thanks a lot.
Operator: There are no further questions at this time. I’d like to turn the floor back over to management for any closing comments.
George McKenzie: Well thank you for listening today.  Thank you for your interest in the Company, and we look forward to talking to you again in the end of the first quarter.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time.  Thank you for your participation.